Executive:  Frank H. Boykin – Chief Financial Officer Jeffrey S. Lorberbaum – Chairman and Chief Executive Officer
Analyst: Michael Dahl – Credit Suisse Ken Zener – KeyBanc Capital Markets Stephen Kim – Barclays Capital, Inc. Dennis McGill – Zelman & Associates John A. Baugh – Stifel, Nicolaus & Co., Inc. Stephen East – ISI Group Robert Wetenhall – RBC Capital Markets LLC Keith Hughes – SunTrust Robinson Humphrey David MacGregor – Longbow Research Eli C. Hackel – Goldman Sachs & Co. Eric Bosshard – Cleveland Research Co. LLC
Operator: Good morning. My name is Shairah, and I will be your conference operator today. At this time, I would like to welcome everyone for the First Quarter 2014 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instruction) Thank you. Mr. Frank Boykin, you may begin your conference.
Frank H. Boykin: Thank you. Good morning, everyone, and welcome to the Mohawk Industries’ Quarterly Investor Conference Call. We’ll update you on the company’s progress during the first quarter of 2014 and provide guidance for the second quarter and the full year. I would like to remind everyone that our press release and statements that we make during this call may include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995, which are subject to various risks and uncertainties, including, but not limited to those set forth in our press release and our periodic filings with the Securities and Exchange Commission. This call may include discussion of non-GAAP numbers. You can refer to our Form 8-K and press release in the Investor Information section of our website mohawkind.com for a reconciliation of any non-GAAP to GAAP amounts. I’ll now turn the call over to Jeff Lorberbaum, Mohawk’s Chairman and Chief Executive Officer.
Jeffrey S. Lorberbaum: Thank you, Frank. During the quarter, our earnings per share were $1.11 as reported, or $1.23 excluding unusual charges, an increase of 41% over adjusted first quarter 2013 results. Our adjusted operating income increased 47% as productivity initiatives drove higher earnings across divisions and our operational improvements gained traction in our acquisitions. For the period, our sales were up 22% favorably impacted by our acquisitions. In addition, the first quarter had one less shipping day compared to the prior year, which equates to approximately 1.5% of net sales. As we ended the first quarter, we began seeing the greatest improvement in our U.S. domestic sales in the Midwest, Mid-Atlantic and Northeast regions, which were hardest hit by winter storms during the first quarter. First quarter earnings were higher than we expected due to our acquisitions, improved productivity, results outside North America, and lower taxes, although the severe winter weather in the U.S. impacted sales. During the period, we continued making progress in our acquisitions, including enhancing our organizational structures, sales strategies, product offerings, and productivity and manufacturing improvements. We expect to make significant progress on our acquisition initiatives throughout the coming year. During 2014, we plan to invest $500 million in new capital expenditures, the highest amount in our company’s history and various projects to support growth and margin expansion, including expanding carpet, fiber and yarn capacity, increasing tile capacity around the world, and building an LVT plant. In the U.S., we expect the economy will improve from a sluggish first quarter with GDP expanding between 2.5% and 3% for the year. Harvard’s Joint Center for Housing study expects improving residential remodeling as homeowners upgrade properties after years of deferred investments. The National Association of Homebuilders continues to project increases in new construction – new home construction. And the National Association of Realtors is anticipating a rebound in home sales for the remainder of the year after severe weather reduced the first quarter results. The U.S. Consensus Bureau forecast expanding non-residential construction during 2014 with hospitality and office channels outpacing overall commercial growth. In other markets, the Mexican economy is showing some positive signs with consumer confidence improving in March and inflation dropping. In April, the International Monetary Fund raised its 2014 growth estimates for the euro zone as recovery gains traction in some of the larger economies, after several years of postponing purchases of both residential and commercial flooring and upside exists in Europe when the recovery accelerates. In Russia, the economy is expected to slow to little to no growth this year, but the weaker ruble should reduce the importation of ceramic and improve demand for locally manufactured tile. During the quarter, the carpet segment adjusted operating margins rose 60 basis points to 5.1% as a result of productivity improvement, cost reductions, and improved pricing. Net sales were down 3%, as reported, or off 1.5% adjusted for one less shipping day in the period. Our residential business outperformed our other categories. We saw marked improvement in our daily sales rate in the latter part of the quarter and we anticipate our second quarter top line growth improving in the Midwest, Mid-Atlantic and Northeast regions as they recover from the harsh winter. Presently, retailers are reporting improved traffic as they implemented more aggressive marketing to drive sales. We continue to reduce our cost in both our operations and administrative structures to align staffing with improvements we’ve made in our systems and processes. In residential, our UltraSoft products continue to grow and capture a greater share of the premium carpet market. We anticipate continued success with these products this year as consumers purchase higher quality products when they remodel their homes. We are expanding the number of retail stores selling our premium Karastan carpets to broaden the distribution of the brand. Our new Continuum products may drop to 100% recycled polyester are gaining momentum in both the value added and promotional price points. The segmentation of our residential salesforce into two focus groups, retail and builder multifamily, is enhancing our penetration into each of these channels. Mohawk’s SmartStrand Silk collection again this year received the dealer recognition for the best carpet introduction and for the best display system that showcases our comprehensive offering and attributes of our premium SmartStrand carpets. Our commercial business continues to transition to our new Duracolor performance fibers, which provides greater value and improved styling. Our introductions from last year are now among our best selling products and improve our efficiencies and margins. We updated our Quickship program in carpet tile to maximize our sales and enhance our service and efficiencies. We are expanding our luxury vinyl tile offering to satisfy commercial, as well as residential requirements in anticipation of our new manufacturing capabilities. We are also added a new resilient sales specialist, as well as turnkey program to offer complete projects including installation. We continue to increase our extrusion and yarn capacity to support our expanding Continuum polyester with state-of-the-art manufacturing technologies that maximize our efficiencies. We have enhanced our service in quality levels in both residential and commercial products through better planning, inventory management and process controls. Numerous productivity projects including operational enhancements, reengineered materials and capital investment are generating significant savings. This month, we announced a price increase of 2% to 4% for carpet to offset inflation in material, energy and freight. We have included the impact of carpet pricing in materials into our guidance. During the period, our ceramic segments adjusted operating margins grew 160 basis points to 9%, as a result of higher volumes efficiency games and improved mix. Net sales rose 69% compared to the prior year primarily due to the Marazzi acquisition, which delivered particularly strong results in Russia, as well as legacy sales growth in North America. In the U.S. sales in Midwest, Mid-Atlantic and Northeast were impacted by the same extreme weather conditions during the period similar to our carpet segment. The segments U.S. performance improved in the later part of the quarter and continues to expand in the beginning of the second period. Our new U.S. organization is delivering improved results. We are expanding the distribution of our combined American Olean and Marazzi collections by providing distributors a more comprehensive offering. We are on track to implement 14 combined American Olean Marazzi service centers in areas where we are not supported by independent distributors this year. Our larger sizes rectangles and longer planks are expanding our style and design and enhancing our market position. The introduction of new collections produced in our European, Chinese, and Mexican plants are further improving our U.S. offering and margins by replacing other products that we have previously purchased. We are expanding our ceramic shop within a shop merchandising concept with flooring retailers. We anticipate having 200 showrooms activated by the end of this year. As new home construction continuous to expand, increasing our position with regional builders and adding new fashionable collections that will improve their product mix. In the commercial channel, increased new construction remodeling are improving our performance. For the 10 consecutive year, we received the dealer award for best ceramic product in North America’s largest flooring trade show. Efficiencies gain through manufacturing and distribution process improvements, labor productivity initiatives and reengineered materials in U.S. will further improve our margins. Our Dallas Ceramic manufacturing expansion should be completed by the third quarter adding about 50 million square feet of capacity with capability to manufacture products up to 48 inches long in the U.S. During the period, we announced construction of a new ceramic plant in Tennessee, which is expected to start up production by the end of 2015. The plant will manufacture premium commercial and residential products, which we have historically imported. We have begun to realign our U.S. facilities by product type to reduce changeovers and improve efficiencies. We expect the realignment to take over a year to fully complete. Our sales in Mexico continue to increase as we broaden our ceramic product line and distribution. Our expanded product offering is being well received and our margins growing, but improved product mix. Manufacturing and distribution efficiencies are reducing our costs and additional Reveal printing investments are creating higher value products for the market. We have made significant progress in restructuring our ceramic business in Europe by introducing new sales strategies improving our product mix and reducing our costs. In the first quarter, the business increased its profitability at the execution of our strategies drove improved results on the plant floor, as well as the market place. Our margins have expanded as we upgraded our product mix with larger sizes, broader wood collections and higher value commercial products. Our wood tile manufacturing consolidation in Spain, our wall tile manufacturing consolidation in Spain has been completed and our investments to enhance our European glazed porcelain styling and efficiencies are underway. We continue to increase sales of our products outside Northern Europe and markets that are growing faster. To improve efficiencies and effectiveness of our sales force, we introduced CRM technology across the business in Europe. Our SG&A costs are declining as we streamline our organization and more effectively market our products. We have improved working capital management with increased inventory turns and better management of receivables. On a local basis, our ceramic business in Russia grew significantly in both revenues and operating income for the period with higher volumes and improved mix from our collections we introduced last year despite a slowing economy and industry. Our results were negatively affected by currency as the ruble weakened significantly and impacted both our raw material costs, as well as our financial translations. Our Russian business just introduced the largest new product collection in its history and its enthusiastic reception has reinforced our market leading design position. During the quarter, we completed to startup of a new porcelain production line to meet growing demand. We have increased our logistics efficiencies, reducing costs and enhancing service to our customer. We announced a price increase in Russia which should be executed in the second half of the year to offset inflation and the impact of currency on our raw materials. We continue to improve productivity and conversion cost across worldwide ceramic operations. We are reengineering body composition and manufacturing processes to lower our cost structures. We are also investing in new capacity to increase our production of rapidly growing ceramic wood planks in all markets. During the period, adjusted operating margins for the laminate and wood segment rose 110 basis points over the prior year to 11.5% with productivity initiatives acquisitions synergies and price increases partially offset by higher wood cost. Net sales in the segment increased 16% over the prior year reported or 13% on a currency and exchange rate with most of the increase in this final acquisition higher volume in wood flooring and growth in insulation boards. In the U.S. during the period weather reduced segment result like our other businesses as customers reduced inventory in response to slower store traffic and consumers differing flooring purchases. Our new Reclaimed laminate was voted the best collection by North American dealers at the market. During the period with again shipping our first natural wood collection by Quick-Step creating a brand extension with improved styling, maintenance and installation. We implemented flooring price increases and freight increases in March to offset rising wood costs and transportation expense. We have further announced price increases in April to cover increasing wood costs again. Our European net sales on a constant exchange rate were up slightly compared to the prior year from warmer weather and some economic improvement. We are completing the rollout of our updated Pergo laminate offering with sophisticated designs, performance features and installation. The Pergo product transition should be complete in the second quarter and should enhance our sales and market position. To support our laminate growth in Russia, we are implementing strategies to expand our DIY business and address opportunities in other distribution channels. We are also launching new laminate products in Europe to participate in the commercial channel using the Pergo brand. We are leveraging the strength of our Pergo and Quick-Step brands and our wood offerings in Europe, and have begun investment in our new wood plant in the Czech Republic to produce our existing products. This facility will extend the reach of our wood business in Europe and Russia. It will also allow our Malaysian wood plant, which has been running at full capacity to expand sales in Australia and Asia. Construction of our European LVT plant is on schedule with production slated to begin in the fourth quarter of this year. We are expanding our LVT sales in Europe and the U.S. to support this new production capacity. Our European insulation business expanded significantly in the Benelux region and our new French facility is driving sales growth in that market. Our roof panel business remains soft and to improve our results, we continue to decrease our manufacturing and SG&A costs. We continue to make progress as planned with the integration of our Unilin and Spano board businesses. We have realized synergies, including the consolidation of production lines and sales organizations, as well as lower material and energy costs. During the second half of the year, we expect to integrate the information systems, which will further enhance the organization. I’ll now turn the call over to Frank to review our financial performance for the period.
Frank H. Boykin: Thank you, Jeff. Net sales for the quarter were $1.813 billion, up 22% from last year, or 1% on a pro forma basis. This year had one less day in the quarter as compared to last year, which equates to 1.5% of sales. Sales were impacted more than expected as difficult weather conditions continued through much of the quarter. Our gross margin was 26.5% as reported. Excluding restructuring, it was 26.9%, up 130 basis points. Productivity initiatives were the biggest driver with some benefit from volume in ceramic. SG&A dollars were $351 million or 19.3% of sales. Excluding restructuring, SG&A was 19% of sales, a 10 basis point decrease over last year. Our businesses continued to exercise strong control over spending. On a pro forma basis, our SG&A dollars are about flat. Restructuring charges for the quarter were $12 million and included $2 million in ceramic and $10 million in the laminate and wood segment with 50% of this total included in cost of goods sold and the remaining amount in SG&A. We estimate $20 million in additional restructuring in 2014 as we continue to integrate our acquisitions. Our operating income margin was 7.9% of sales. This represents growth of 140 basis points resulting from increased productivity, cost control and some volume improvement. Our interest expense was $22 million. It increased over last year due to financing of the acquisitions in 2013. We estimate fiscal year 2014 interest to be $85 million, which includes the impact of our new commercial paper program. Our income tax rate was 22% for the quarter, which was less than anticipated due to timing of certain items. We still expect the full-year rate up 22%, but anticipate the second quarter and the third quarter to be higher and the fourth quarter to be lower by 200 to 300 basis points. However, timing could impact quarters different than expected due to complexity of our tax structure and our geographic footprint. Our earnings per share excluding charges was $1.23. This is up 41% from last year. We move to the segments, in the carpet segment, our sales were $675 million, down 3% from last year. Weather impacted shipments more than anticipated, but we are expecting more normalized trends in the future. Our operating income margin was 5.1%. This is up 60 basis points as our carpet business continues to improve productivity. In the ceramic segment, sales were $695 million, an increase of 69% over last year. This includes Marazzi sales of $272 million with the Marazzi acquisition driving most of the growth this quarter. On a pro forma constant exchange basis, sales were up 3% with all three regions increasing. Our U.S. business experienced slower growth than expected with bad weather in the quarter. Our operating income margin excluding charges was 9%. This is up 160 basis points with increased productivity and some volume growth driving the improvement. Our laminate and wood segment sales were $468 million, an increase of 16% over last year. This was primarily impacted by the Spano acquisition, which had first quarter sales of $42 million this year. Sales were up approximately 2% on a pro forma constant exchange rate basis for this segment. Both our European and U.S. businesses were up with the U.S. impacted by weather. Our operating margin, excluding charges, was 11.5%, up 110 basis points with the Pergo and Spano synergies and productivity improvements driving the increase. In the corporate elimination segment, our operating loss was $8 million and we are estimating $30 million for the full year. If we jump to the balance sheet, receivables ended the quarter at $1.175 billion. This includes $334 million from acquisitions, which was not in last year’s numbers, and equates to a DSO of 51 days. Our inventories ended the quarter at $1.632 billion. This includes $268 million from acquisitions, which were not included in last year’s numbers. Our inventory days at the end of the quarter were 116 days. Fixed assets were $2.745 billion and included total capital expenditures of $122 million for the quarter with depreciation and amortization of $81 million. We estimate capital expenditures for the full year of $500 million primarily for capacity expansion as our U.S. economy expands and we assimilate our acquisitions. Our 2014 full year D&A is estimated at $350 million. Long-term debt ended the quarter at $2.4 billion. Our leverage at 2.3 times debt to EBITDA was impacted as our seasonal working capital built up. We expect our ratio to improve to 1.7 times by the end of the fourth quarter of 2014. Jeff, I’ll turn the call back over to you.
Jeffrey S. Lorberbaum:  Thank you, Frank. Our management team is executing strategic initiatives to maximize our acquisitions and implementing best practices in process improvement to enhance our legacy business. Although the pace of economic improvement varies across our markets, we are driving innovation, operational excellence and sales growth to optimize our results. In each of our businesses, we have many local advantages, including leading market position, highly recognized brands, diverse distribution and efficient manufacturing that position our business for growth in each market as it improves. Although, the weather in the first quarter impacted our U.S. business, order and shipments began improving as the period ended. Our non-U.S. growth was higher in the first period due to warmer weather in Europe than last year and better performance of our Russian product introductions. We are implementing product and freight increases as required to offset inflation across the business. In the second quarter, we anticipate an improvement in the U.S. resulting in a sales increase of 5% to 6% for the total company. With these factors, our guidance for the second quarter earnings is $2.14 to $2.23 per share and for the full year $8 to $8.30 per share, excluding any restructuring charges. We remain positive about both our strategies to enhance Mohawk results and overall outlook for the floor covering industry this year. We are planning to increase capital investments across the enterprise to support the introduction of innovative products, increased capacity to sustain our growth, and drive productivity, efficiency and cost improvement. We remain focused on increasing shareholder value by driving our top line growth and improving our bottom line. We will now be glad to take your questions.
Operator: Thank you (Operator Instructions) Your first question comes from the line of Michael Rehaut with the JPMorgan. Mr. Rehaut your line is open. Please check your line to see if your line is muted first. Question withdrawn. Your next question comes from the line of David Goldberg with UBS. 
Unidentified Analyst: My name is actually Susan for David. You made mention to the fact that you have seen some improved traffic since the weather has turned, but that some of this is coming off of some increased promotional activity that you are doing. Can you just give us a little bit more color around the magnitude of the promotions that you are offering and maybe how they are working? Are you seeing people more inclined to move up in terms of price points as a result or what you are seeing?
Jeffrey S. Lorberbaum: I think what I’ve said was we were seeing our customers doing more activity to get people in their stores. Their business was down, so they became more aggressive in attracting people as the weather got better. So our promotional activity really hasn’t changed dramatically from what we’ve been doing. If you look at it again, the regions that were most impacted by the weather experienced significantly slower sales during the first part of the year. The trends of our bookings were increasing significantly in the second half of March and coming into in April. And again like I said, to give you a better view of it, we are expecting the total sales improvement in total company to be about 5% to 6% in the second quarter.
Unidentified Analyst:  Okay. That’s helpful. Thank you. And then in terms of your uses of cash, I know that you expect to spend a record level in terms of capital expenditures this year. How do you think about debt paydown and maybe potential other uses that could come up?
Jeffrey S. Lorberbaum: Our balance sheet is in good shape. Our debt related to our cash flow has been improving. We have capabilities of increasing our debt significantly. The capital investments we think are good investments and good returns to maximize our business over time. So we think we are in good shape, and we still have a balance sheet that we can go do additional acquisitions and more investments where we please.
Frank H. Boykin:  So our focus is probably going to be in terms of capital allocation and continuing to invest in the business with capital expenditures, looking for strategic M&A opportunities, and that’s going to be the focus and paying down debt on capital allocation.
Unidentified Analyst: Okay. Thank you.
Operator: Your next question comes from the line Michael Dahl with Credit Suisse.
Michael Dahl – Credit Suisse: Hi, thanks. I wanted to follow-up on the question about promotional activity and appreciate that it’s not you driving it, but at the same time you are trying to push through pricing across channels. So can you talk about whether you are seeing that impact your ability to push price as your customers are trying to do more to drive traffic into their stores?
Jeffrey S. Lorberbaum: We have a lot of different businesses with a lot of different pricing actions going on. The actions in all the businesses are trying to recover the inflation that’s going on? They are all at different implementation parts. Some of them have been recently implemented, other ones won’t be implemented for a month or two as we go through. Some of them have just been recently announced. So they are all in process. We have to, as always, react to the marketplace’s needs and what competition does. And as far as we can see at this point, we believe we are going to be able to recover the inflation that’s going on in most of our markets.
Michael Dahl – Credit Suisse: Okay, thanks. And as a follow-up, I guess, on carpet specifically, it seems like if we take into account the pricing that’s been put into place and granted this was a tough quarter with the weather, but it seems like square footage is still down in that business. Can you give us a sense of how you are thinking about that and how you are seeing the market from a – progressing from a square footage basis? Thanks.
Jeffrey S. Lorberbaum:  The industry in the first quarter was down with negative units. It was impacted by the weather and everything else. Our anticipation for the rest of the year is that the units turn positive somewhere in range of maybe 3% could be more or less.
Michael Dahl – Credit Suisse: Okay. Thank you. 
Operator:  Your next question comes from the line of Ken Zener with KeyBanc Capital Markets.
Ken Zener – KeyBanc Capital Markets:  Good morning.
Jeffrey S. Lorberbau:  Good morning.
Frank H. Boykin: Good morning.
Ken Zener – KeyBanc Capital Markets: I wonder – you gave the sales guidance for the second quarter, which I appreciate that. One of the things I think investors are struggling with is kind of the – you guys obvio1usly have a lot of integration benefits that you are accruing, but if one looks at the end markets domestically, I think generally some categories we’ve seen sharp bounce back. So there wasn’t activity in January, February and parts of March that snapped back. And your 6% guidance kind of gives a steady flow. Did you see a lot of variance within your domestic businesses? So tile, for example, at the DIY retail as opposed to tile in your stores going to construction. And could you maybe give a comment around that to give a little more granularity in terms of how the weather impacted your products in different channels?
Jeffrey S. Lorberbaum: I don’t know if I will be able to give you anymore data, I can give you some direction of where it is. First is, our different product categories have different amounts of growth. So the ceramic business in the U.S. is growing faster than carpet business and the laminate business, so it starts at a higher growth. They relatively though, they all decreased approximately the same amount with the weather. As you look in the channel, all of these businesses are having increases in the new construction channel as the new construction continues to increase. Some of the quarterly or monthly variation you see, it gets averaged out by the time they order the products. And so we don’t see as much month-to-month variation as you see in the stark numbers, we tend to trend six to nine even twelve months behind those as they go through. We are seeing and anticipate further improvement in the remodeling business. We believe that as the economy gets better, we will see more people moving in it. And in the remodeling part, people tend to use higher value products so the better it gets, the better our mix gets as we go forward. 
Ken Zener – KeyBanc Capital Markets: Thank you. And then I guess in the Unilin, I did see there was, relative to Pergo, the retail side, I saw that Unilin has some infringement cases. Could you comment on perhaps how you are doing share wise in Unilin Pergo and then I believe, in Columbia, the hardwood, could you comment on pricing and margins and how effective you’ve been at holding market share? Thank you. 
Jeffrey S. Lorberbaum:  The first question, I think it was about laminate. The laminate business is growing slower than the flooring industry as a whole. We are mainly focused on the medium to high-end part of the business in our markets. We intend to have limited participation on the lower end, because we focus on creating higher value products with more differentiation in it. I think that within our markets that we focus on, that our share is stable or growing slightly as we go forward and the other part of the question? And the wood business, our wood business, the volumes are going up. The profitability has been impacted by the significant rising cost in wood. We had anticipated that they would peak right now. They still kept rising. With that, we’ve raised prices twice in the first half of this year, the first was for 5% and it’s been executed. And the second is around 10% is in the process of being executed. Our profitability in the division has improved as the volume has gone up and helped us leverage the cost of our assets across the business.
Ken Zener – KeyBanc Capital Markets: Thank you.
Operator: Your next question comes from the line of Stephen Kim with Barclays.
Stephen Kim – Barclays Capital, Inc.: Thanks very much, guys, strong quarter. I wanted to ask you about how things progressed in terms of the productivity through the quarter. Obviously, you performed very well in a tough environment. And I was curious as to whether or not there was anything that sort of landed in the – let’s say the March timeframe when you were observing the results coming in that surprised you positively, particularly whether there was maybe anything you kind of thought might may materialize as a benefit in 2Q but actually wound up in 1Q. Thanks.
Jeffrey S. Lorberbaum: I don’t think that there was any unusual things. Frank, why don’t you go through the taxes because I think that…
Frank H. Boykin: Yes, I think there was one positive surprise outside of the operations though, as you know, Stephen. The tax rate we estimated to be 24% and actually it came in at 22%. And as I said earlier, as I was going through my presentation, we still expect the full-year rate to be 22% with Q2 and Q3 to be higher and Q4 to be lower than that. But the tax rate is kind of hard by quarter to estimate because timing of different things could impact us and particularly more difficult was our complexity has grown and our geographic footprint has expanded. And that’s probably the thing that was the biggest surprise in the quarter.
Jeffrey S. Lorberbaum: Do you have the impact of taxes in the first quarter?
Frank H. Boykin: That was about $0.04 a share from 22% to 24%.
Stephen Kim – Barclays Capital, Inc.: Okay, that’s great. And then you have indicated that in the second quarter and even at the very, very end of the first quarter, you began to see a bit of a snapback in recovery and volumes. And we talked about weather impact. Normally we think of that sort of being additive to what your normal run rate would be – normalized run rate would be. So in 2Q, you’ve sort of talked about a 5% to 6% overall sales growth rate. Should we interpret from that that as we get into 3Q and 4Q that all things equal you would think kind of a normalized growth rate would be somewhere south of 5% to 6%, or would it be different than that for some reason?
Frank H. Boykin: I think that we believe that it’s going to continue at that rate or maybe even stronger as the economy improves and people start investing more. So that would be – we hope it is going to be better than that.
Stephen Kim – Barclays Capital, Inc.: Okay, great. Well, so do we. Thanks very much, guys. A very strong quarter.
Jeffrey S. Lorberbaum: Okay. Thank you.
Operator: Your next question comes from the line of Dennis McGill with Zelman & Associates.
Dennis McGill – Zelman & Associates: Good morning. Thank you. Frank, on the $500 million of CapEx this year, how many plants are actively under construction right now and then what would your current capital plan look like as you move into 2015?
Frank H. Boykin: Well, in terms of actually plants under construction, new plants, would just be two, I guess – the LVT plant that we have over in Europe and then the ceramic plant that we’ve just started in Tennessee. I think that’s right. And then we have got a number of new lines or expanded lines across the world that we are adding. I’m not sure I know off the top of my head.
Jeffrey S. Lorberbaum: We are putting ceramic in Russia as we speak where we are updating equipment. In Italy, ceramic, we have a new line going in Dallas we talked about. We have announced the building of a ceramic plant in Tennessee, which isn’t out of the ground yet. We are putting significant increases in extrusion capacity in our carpet divisions. I think those would be the biggest single dollar amounts, but there is a lot of activities to increase efficiencies, productivity and impact product development, product offering, as well as maintenance things going on.
Frank H. Boykin: And then with regards to future CapEx, I mean it really depends on kind of how we see the industry growing across around the world as well as requirements from our M&A activity. This year is a large year because of growth and the assimilation of the acquisitions. And it’s probably a little bit early right now in the year to be forecasting for next year. But it could be something a little bit more than D&A, which is kind of a normal run rate for us.
Dennis McGill – Zelman & Associates: Okay. And then just from a P&L standpoint, all of that you have going on either on new plans or those that are in the works, what kind of expense benefit would you get next year if you don’t see a reacceleration or acceleration in anything that is maybe not planned? Is it possible that you see expense leverage improved next year since some of these costs roll off?
Jeffrey S. Lorberbaum:  We don’t have the numbers here, but on all of our significant investments we expect to get reasonable returns on those as we go forward. Some of them take – if you put in a new plant, it takes a long time to get the sales up, to get the leverage, could take a year or two years out. Other ones your turn on – other investments you turn on in the next months to get advantages from it.
Dennis McGill – Zelman & Associates: Okay. Thanks, guys. Good luck.
Jeffrey S. Lorberbaum: Thank you.
Operator:  Your next question comes from the line of John Baugh with Stifel.
John A. Baugh – Stifel, Nicolaus & Co., Inc.: Good morning.
Jeffrey S. Lorberbaum: John.
John A. Baugh – Stifel, Nicolaus & Co., Inc.: Q2 sales guidance annually (technical difficulty) hello? 
Dennis McGill – Zelman & Associates: Oh, sorry, guys. I thought I was off. (inaudible) for that exact number, Frank.
John A. Baugh – Stifel, Nicolaus & Co., Inc.: Should I wait for the operator to do something.
Jeffrey S. Lorberbaum: Go for it. We will see what happens.
John A. Baugh – Stifel, Nicolaus & Co., Inc.: Okay. Okay. I was wondering on two fronts, the Russian front, the results there were materially better in the first quarter, it sounds like, than the outlook you gave us. What is your prognosis for the year and I understand that can change with all the tensions building, but do you have a different outlook now versus 90 days ago?
Jeffrey S. Lorberbaum: The economy is continuing to – the economy, we think, is going to be 0% give or take. It could be better or worse than that; we don’t know. We believe the industry is going to be negative in Russia. What we said a month ago we still believe today is that we are going to take actions to improve our position and grow our business in a tough environment. So the only difference is that the last time I think we said this year our earnings are going to be flat and this time we think they are going to be a little bit better than that because of improved product mix that we had in the business. Other than that, they are still going to be – could be a significant impact based on exchange rate and if you can tell us what they’ll be, we will know what to do with it.
John A. Baugh – Stifel, Nicolaus & Co., Inc.: I will leave that up to you. Thanks for that. And then on the acquisition sort of integration, if you could maybe go through Pergo, Spano and Marazzi and tell us how far through you are in realizing the easy initial saves in each of those. And then maybe update us on the timing of when you got aggressive with acquisitions relating to your leverage ratio. Thank you.
Frank H. Boykin:  The start is the – I will start with Marazzi. Marazzi, the U.S. most of the opportunity that were easier done. The U.S has been reorganized and is operating at one. We are going to have to keep investing in the Marazzi American Olean stores. That is going to take years to get to where we want it to be, but things are in place and being structured. In Russia, basically, we are just funding the growth and continuing the strategies that we had. And we might be about 30% of the way through with the European business. We have restructured it, we’ve done it. We are putting investments in equipment. The first leg of it is coming in this year and it will take us all year to get it in and then next year to get it implemented the way we like. And then there is further opportunities in the European business after that that will take longer. In the Pergo business, both of the businesses – the European business and the U.S. business have been totally reorganized. The European business, we have shut down all of their manufacturing; it has been consolidated. We’ve redesigned the strategies in the marketplace. We are right in the middle of reintroducing almost the entire product line with better product as we speak. Those should be in the stores by the end of this quarter and it will take over that six months to just most of the value out of those. The U.S. business, most of it is done. We have some new equipment coming in, in order to improve some of the costs, which will take probably towards the end of this year before the equipment in and operating. The Spano business, we have closed one plant; we closed the line. We have integrated the sales and operations of the organization. We are looking – so the easy pieces have been done. We are looking at additional capital investments to throughout possibly some of the worst equipment between the two companies. It hasn’t been concluded what to do yet. If we move forward with that, it could take a year or two to get all those fully in place from the time you order them to the time you execute them. On the acquisition front, we believe that we have – the management structures are in place. We have made a huge amount of progress in a year putting all the infrastructure in these things, the strategies have been executed, the teams are leveling out what they are doing. The debt level has come down, the operating margins is come up and all the business and we are in place to do additional acquisition if we find them at the right prices to move forward and we are looking.
John A. Baugh – Stifel, Nicolaus & Co., Inc.: Great. Thank you for the color and good luck.
Jeffrey S. Lorberbaum: Thanks.
Operator: Your next question comes from the line of Stephen East with ISI Group.
Stephen East – ISI Group: Thank you. Good morning, guys. Jeff, if you could just talk a little bit more about Russia and the weather, just the Russia from the standpoint of if the tensions escalate, etc., do you all have any contingency planning there? What are your options and possibilities that type of thing, if the government starts creating interference for US-owned companies, etc.? And then on the weather, you talked a lot about the sales line. Can you give us any type of magnitude of inefficiencies from production, shipping, etc.? 
Jeffrey S. Lorberbaum:  In Russia, the big risk to us are one, is we do import some clay – a portion of our clay from outside Russia. So we have alternative that we have been looking at. We prefer not to use them as that but we have alternative there we have some negative impact to sales and to the Ukraine, which could impact us. It’s a small part of the total business, but the world blows up and things go crazy we have to react and we can’t anticipate what it might be. We don’t think we are in core industry like the oil and gas business as that we are not anticipating a significant impact on that sort of bigger risk for us we think would be the economy is getting much worse.
Frank H. Boykin:  And we’ve checked with other people too, Stephen, outside experts about that and they confirmed the business we are in, the locations we are in, the risk to ask is from a political standpoint and somewhat limited. The bigger risk is going to the economy and what happens with the economy over there with everything that is going on politically.
Jeffrey S. Lorberbaum: I forgot the part of the question.
Stephen East - ISI Group: All right. That is really helpful. Just on the weather, you indicated – gave us a good idea of the sales impact. Can you give us some type of idea of magnitude inefficiencies, either production, shipping, etc. versus what you would typically expect in the first quarter?
Jeffrey S. Lorberbaum: There were some plant shutdowns and startups that you wouldn’t normally have due to the weather. Now every spring we do have some, so its not a zero baseline. I would just see a couple of million dollars to be more or less between the different pieces across but, again that’s hard to tell most of the shipment I think we are able to get through is more a sales problem other than whatever we have to absorb. 
Stephen East - ISI Group: Okay, thanks. And then just one last thing. As you look at your carpet segment, the performances, you talked a little bit about the different strengths. It sounds like residential was the strongest. Could you just sort of run through new construction, remodeling and on the commercial side, what is going on there? Are we seeing an acceleration or is it sort of a steady-state right now?
Jeffrey S. Lorberbaum: All the businesses were affected by weather. As we have come out of the piece, the builder business is continuing to be the better part of the category as you would suspect. We are seeing improvement in the remodeling business as we go forward. We are hoping a remodeling will continue to strengthen and we’ll see a mix improvement as it does in the business because a consumer who buys their own product tend to buy higher value products. Multifamily business still remains good around the country. The commercial business slowly expected to improve going forward. The indicators are good. We see our bookings levels improving and so those things are supporting the increases we have been talking about.
Stephen East - ISI Group:  Okay. Thank you.
Operator:  Your next question comes from the line of Bob Wetenhall with RBC Capital Markets
Robert Wetenhall – RBC Capital Markets LLC: Hi, good afternoon and great quarter. Just wanted to ask about your capital investment program and your Greenfield ceramic initiatives. Are you guys set on capacity or are you just investing in the new facility because you are very confident about demand and what is your thoughts – I’m kind of getting the impression you might be taking some market share?
Jeffrey S. Lorberbaum: We are looking out for the next – the ceramic plant from the time you start until the time it is up, you are talking about two years before you get any capacity out of it and being a third year before you start getting it. At the same time, you incrementally put in equipment; you don’t put it all in the first day as you go through. So, if we look out over the next five years, we have done a view of what we think the business is going to grow and so we are increasing the capacity to support that because of the long lead-times. We also able to, because of our Mexican business, our other one; we are able to support the Mexican business by putting more capacity up here and using more of the Mexican business in Mexico as well as importing changing around. The business is also setup to produce the highest value tile above what we have. We are importing from Italy, the highest value most differentiated pieces lot of it goes in to the commercial business so we’re also putting equipment in there to more aggressively produce locally, the highest end of the product line, which historically has come from imports.
Robert Wetenhall – RBC Capital Markets LLC: Got it. Thank you. And just one question, I just wanted to see, taking the temperature of the European consumer, do you think on a Mid-Continent, I am putting aside Russia, do you think European consumer demand is starting to turn the corner in the U.K. and Germany? Is there any signs of that and what are your outlook in the back part of the year for Europe? Thank you very much.
Jeffrey S. Lorberbaum: We are seeing areas where we think the European economy may have bottomed. Some countries – you can tell about Europe as one. Some countries are doing better than others, so we are more optimistic now than we have been in the past. Our business was up slightly from last year on a comparable basis. In the first quarter, the weather in Europe was slightly warmer just opposite of the U.S. So we think there was some business because of the warmer weather impacting it, which was a positive then. We are not yet sure exactly how to put that looking at the future. And from our position, the things we are doing in our ceramic business to turn it around and make it profitable and the things we are doing with the consolidation of the acquisitions we get and turning of the over the new Pergo line, we think that we can do better because all the activities we are doing.
Robert Wetenhall – RBC Capital Markets LLC: Got it. Thank you very much.
Operator:  Your next question comes from the line of Keith Hughes with Sun Trust.
Keith Hughes – SunTrust Robinson Humphrey:  Thank you. Just a couple follow-up questions to some of the answers you have given. The plant closure associated with the Spano integration, when was that closed?
Jeffrey S. Lorberbaum:  I think it was in the fourth quarter, but I am not sure. There were so many pieces. I think it was in the fourth quarter. 
Keith Hughes – SunTrust Robinson Humphrey:  Okay. And then you had mentioned on the Marazzi integration, you were 30% of the way through in Europe. Is the remaining 70% just more rationalization and the production assets there or are there other things involved?
Jeffrey S. Lorberbaum: We have ordered equipment that is being delivered to take their glazed flooring business and improved productivity and cost as well as enable us to make higher value products that equipments on its way in as we speak and is being put in over six, nine months because we have to keep supporting the local business while we are doing. We then have further plans depending upon how Europe goes and how we read the market that we could keep investing and improve our cost positions in other parts of the business. And we haven’t turned those loose yet until we finish the first phase and get a better view of what is going on in Europe.
Frank H. Boykin: At the end of the day, with that strategy, Keith, we should have a much more cost-effective and efficient manufacturing operation and raise our mix up from where it was before.
Jeffrey S. Lorberbaum: And just to make sure we understand, we started out with a losing business.
Keith Hughes – SunTrust Robinson Humphrey: Okay.
Jeffrey S. Lorberbaum: And an economy that was terrible in an environment where the capacity way out exceeded the demand. Other than that, it was easy.
Keith Hughes – SunTrust Robinson Humphrey: All right. Final question, you had talked earlier in the call about 2014 I believe what you called combined service centers where you don’t have distribution and ceramic tile. I assume that’s in North America. Are those locations, are they actually doing retail sales, as well as wholesale or are they just focused on wholesale?
Jeffrey S. Lorberbaum: That was Marazzi’s attempt before we bought them to start building a structure to compete with our business, with our Daltile business. And so they had a limited number of service centers that, for the most part, weren’t doing as well because they had a difficult time having the product breadth to support what was going on. So what we are doing is we are adding to those stores our American Olean product category so that we can have a total offering and offer the marketplace two options of our own owned products to go through it and then we get through that step, the question is what other geography can we maximize the piece in where we don’t have strong independent distributors to support us and start growing them from there. The initial stores that we’ve done are showing good progress in improving their sales and improving their share of the marketplace, but we are in the early stages.
Keith Hughes – SunTrust Robinson Humphrey: Is that – those sales are wholesale sales from you?
Jeffrey S. Lorberbaum: I’m sorry, we don’t sell direct to the consumer in those stores. We sell to contractors, retailers and other things whoever is in the market, but not the retail consumer.
Keith Hughes – SunTrust Robinson Humphrey: Okay. Thank you.
Operator: Your next question comes from the line of David MacGregor with Longbow Research.
David MacGregor – Longbow Research: Yes, good morning, everyone. Jeff, just a question on organic growth and capital allocation. Last quarter, you talked about having made 30 acquisitions since 1992. This quarter, you are reiterating the $500 million of CapEx for 2014. Can you just talk about organic growth expectations over the next two years and maybe that was the 5% to 6% number you referenced earlier and how do you think about the right balance over that time from a capital allocation standpoint between organic growth and acquisition growth?
Frank H. Boykin: First, the 5% to 6%, given all the acquisitions and given what happened in the first quarter, we felt that we wanted to try to give you a clear view of the near-term future because it is really hard to understand. So that is what the 5% to 6% was. The capital allocation only starts first with supporting our own business and maximizing our internal growth. And so that is always the first thing we are going to support and keep doing. We are going to have to keep investing in the businesses where we get the proper returns so that we have good cost positions and innovative products to drive our business. From there, the next one is to continue looking at and finding the right acquisition, which will give us the proper returns for our shareholders we want over time. And so those could be businesses that are doing well that we have just done like the Russian business. They could be businesses that are doing lousy like they have in the ceramic business or the Pergo business where we shut down the manufacturing. And each one of those has a different return expectation based on the risks and how well the business is doing.
David MacGregor – Longbow Research: So as you think about that organic growth over the next two years, what is a good rate for us to be thinking about?
Frank H. Boykin: We haven’t really stated a rate. I think that when we look at this year, we said the next quarter would be 5% to 6%. We expect the rest of the year to be – we are hoping to be stronger than that. And next year, we put together a plan at this point.
David MacGregor – Longbow Research: Is it fair to think about industry growth as kind of 3% to 4%?
Jeffrey S. Lorberbaum:  3% to 4% on the U.S. It might even be a little higher. Don’t know
Frank H. Boykin: Yes, it depends on region and it depends on product.
Jeffrey S. Lorberbaum: I think using that for the U.S., I think 4% for the flooring industry is reasonable.
David MacGregor – Longbow Research: Okay. And you should be gaining share over and above that I guess?
Frank H. Boykin: Well, in terms of actually plants
David MacGregor – Longbow Research: Great, thanks very much.
Operator: Your next question comes from the line of Eli Hackel with Goldman Sachs.
Eli C. Hackel – Goldman Sachs & Co.:  Thanks, I just wanted to touch on the $500 million in CapEx. Is it possible to break that down how much is for the recent acquisitions, how much is for legacy? In the legacy, how much is maintenance versus growth CapEx?
Jeffrey S. Lorberbaum: It is possible, but we don’t have it to give you. We have it; we just don’t have it in front of us.
Frank H. Boykin:  You can call me, Eli; I can help you a little bit with that.
Eli C. Hackel – Goldman Sachs & Co.: Great. And then just in terms of the – on the commercial side, I just wanted to understand the comments you made on commercial, were those specific to carpet or just love your overall thoughts on what you are seeing in the commercial business and all of your segments?
Jeffrey S. Lorberbaum: We’ve made a lot of comments. Some of them were related to the carpet business and the transition of the product line and others where that we were seeing the commercial business improving and our backlog improving, that which relates to the whole business.
Eli C. Hackel – Goldman Sachs & Co.: Great, okay. Thank you very much.
Operator:  Your next question comes from the line Eric Bosshard with Cleveland Research.
Eric Bosshard – Cleveland Research Co. LLC: Thanks. Gentlemen, I think you made a comment about laminate growing slower than the industry and carpet growing slower than the industry. Can you just talk a little bit about what is growing faster than the industry, your exposure there and then if you have thoughts about your portfolio relative to what is gaining and losing share relative to the industry in flooring?
Jeffrey S. Lorberbaum: Those comments around the U.S. flooring industry first and then the U.S. flooring industry, you have some products growing faster and some growing slower. When we look at it, the faster growing products are going to be wood and ceramic and the slower than the average are going to be carpet and laminate.
Eric Bosshard – Cleveland Research Co. LLC: As you think about your portfolio, the Columbia acquisition of a number of years ago, it seems like your wood exposure is smaller. Do you have thoughts from an acquisition perspective that there is a need to get bigger in the wood category or how do you think about that?
Jeffrey S. Lorberbaum: Recently I mean we have been standing in our wood position in Europe recently with a small acquisition in Europe, but we still have a niche position in Europe and the U.S. we would consider acquisition – wherever we have knowledge that we can leverage and business is that we can leverage, we would consider those as a possible work place to look at. The decisions will come around what we have to pay for it and the return on investment over time along with the risks associated with those. So anything that is in flooring and for the most part anything in the world we would look at, we would have to then review that based on the risks associated with the geography and the risks associated with each individual business.
Eric Bosshard – Cleveland Research Co. LLC: Okay. And then secondly, as you are seeing this recovery take shape, again, curious what your thoughts are about the incremental margin of the business through the recovery, especially as it relates to product mix and what you are seeing in terms of the uptake of better product across the segments.
Jeffrey S. Lorberbaum: Yes, I don’t think our incremental margins have really – our view on incremental margins have changed in Europe. As we said, carpet is 20% and tile 25% and laminated in the 30% range. So over the cycle, that would be the view of the incremental margins both up or down in any particular quarter depending on whether we are investing or not.
Eric Bosshard – Cleveland Research Co. LLC: Okay. Thank you.
Operator:  And at this time there are no further questions.
Jeffrey S. Lorberbaum: We appreciate you joining our call. We are optimistic about our future. Have a great day.
Operator: Thank you joining today’s conference call. You may now disconnect your lines